Operator: Good Morning. My name is Brook, and I will be your conference operator today. At this time, I would like to welcome everyone to the Trinity Biotech second quarter 2008 Earnings Call. (Operator Instruction) Thank you. I’ll now turn the call over to Mr. Joe Dorame. You may begin your conference.
Joe Dorame: Good Morning. Thank you for joining us today to review the financial results for Trinity Biotech for the second quarter ended June 30th 2008. As Brook indicated, my name is Joe Dorame. I’m with Lytham Partners and we are the financial relations consulting firm for Trinity Biotech. With us today on the call representing the company the company are Mr. Brendan Farrell, Chief Executive Officer, and Mr. Kevin Tansley Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a Q&A session. Before we begin, I would like to remind everyone this conference call includes statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties, including but not limited to the results of research and development efforts, the effects of regulations by the United States Food and Drug Administration and other agencies, the impact of competitive products, product commercialization and technological difficulties and other risks detailed in the company's periodic reports filed with the Securities and Exchange commission. The company can give no assurance as such forward-looking statements will prove to be correct. We undertake no obligation to affirm publically update or revise any forward-looking statements whether as a result of information of future events or otherwise. With that having been said, I would like to turn the call over to Mr. Brendan Farrell, Chief Executive Officer of Trinity Biotech. Brendan?
Brendan Farrell: Thank you very much. Good day everybody and welcome. This is Brendan Farrell speaking. I would like to start first by asking Kevin Tansley as CFO to review the results of our quarter two and year to date, thank you Kevin.
Kevin Tansley:  Thanks Brendan. Today I will take you through the review of the income statement for the quarter and secondly the key movements in the balance sheet from the end of the 2007 to date. Starting with our revenue performance, as usually you will note in the press release an analysis of revenues broken down by our key product areas, clinical laboratory, point-of-care, and also with geographic location for the quarter. Looking at the total revenues, you will note that this quarter's revenues are $36.3 million. This represents a 6% increase over quarter one this year. Within this, there was a 21% increase in point-of-care revenue. Our clinical laboratory revenues also increased during the quarter growing by 4.3% from $30.1 million to almost $32.3 million. Looking at this quarter's revenues compared to same period last year, we see a decrease of 3%. As can be seen in the table contained in the press release, this is attributable to our point-of-care division and specifically sales of HIV products in Africa. In previous calls, we've highlighted the fact that the nature of African markets has and will result in fluctuating sales quarter-and-quarter in this segment. We would also point to the fact that quarter two 2007 represented a very strong quarter for African HIV’s sales, and hence it's not most representative benchmark. Again, I will point out that HIV sales this quarter represented 21% increase over last quarter. From our clinical laboratory perspective, sales this quarter were over 4% higher than the equivalent period last year. Rather than getting into the detail on the movement by product category and geographic location, I will move on to our gross margin of performance. Brendan will shortly take you through a more detailed analysis of this quarter's revenue. Our gross margin for the quarter was approximately 45%. This compares to 48% in quarter two in 2007, however a more realistic comparison is quarter one of this year when the gross margin was 46%. The lower gross margin this year is largely due to the impact of two factors. First, is foreign exchange, throughout 2008, the dollar has continue to weaken and this has put pressure on margin. Just put this in context, the average euro dollar exchange rates for quarter two this year has been 156 and this compared to 133 same period last year, as an effect a depreciation of about 15%. Second factor is product mix, point-of-care sale tend to generate higher gross margin, and so far this year point-of-care sales made up a smaller percentage of revenues than in 2007. Moving on to our indirect cost, our R&D costs are slightly ahead of the previous quarter, or just under 5% are consistent as a percentage of revenue. Our selling, general and administrative expenses however, have shown a decrease both compared to last quarter and quarter two 2007. This quarter, SG&A expenses amounted to $11.8 million, down from $12 million in quarter 1 this year, and down from $12.3 million last year. Principle factor driving this reduction, are cost control measures that we’ve been adopting in recent months. As a management team, we are acutely aware of the need to continue to contain cost and look for efficiencies where available, in the view to achieving our primary objective of improving the profitability of the company. We are now, I am happy to say seeing some of the benefits with restructuring program that we began to implement towards the end of 2007. Also, these victories have been achieved in the face of the upward foreign exchange movement that I have already alluded to. I would also like to point out that I do expect certain degree of upward movement in this caption in the next two quarters, principally due to the timing of certain marketing expenditure. For example, the largest trade shows for diagnostic companies in the US and in Europe, both take place in second half of the year. These events are taken very seriously by us and we've a strong presence of each of them. Regarding our net financial cost, you will notice a piece of decline this last quarter. This is largely attributable to falling US interest rates. I will return to the topic of our company's debt later on in this presentation. At this stage, I would like to mention the tax charge. This quarter's effective tax rate is 16%, and this is higher than on previous quarters. For example the raise in quarter one this year was 6%. I have pointed out in previous calls that you should expect tax rate to fluctuate quarter-on-quarter depending on factors such as the jurisdiction in which profit rise and also depending on the location of the inventory within the group at any time. In some respect, the best way to look at tax rate is to look at the year-to-date picture, this smoothes up some of the quarterly fluctuations. On this basis, the effective rate year-to-date is 12%. This is closed to the level, which one should expect to be in around 15%. Our operating profit for the quarter amounted to $2.3 million as compared to $1.8 million in the previous quarter, and so this represents an increase of close to 30%. Similar increase has been with the gross profit after tax, where we have seen an increase from $1 million to $1.5 million, in this case an increase of 43%. Before concluding on our income statement, I would like to point out that our EBITDA and share option expense for the quarter was $4.6 million, which together with quarter one brings total for 2008 to $8.6 million. Now let’s talk about our balance sheet. Starting with our property, plants and equipment's, movement since beginning of 2008 is largely explained by combination of addition of $1.6 million as offset by depreciation of $2.2 million. The most significant element of the addition so far this year has been instruments placed with customers and we expect to generate income over the next three to five years. Our goodwill and intangible asset have increased by $2.7 million at the beginning of the year and this is mainly attributable to addition of $4.8 million to end the year on developmental projects. In this context, the principle project continues to be Destiny Max. Brendan will provide you more detail later in the call as the coordinator of this project and the other projects that are ongoing at present. These additions are partially offset by the amortization charge for the year of $1.8 million, which has been recognized in the profit and loss accounts. Moving onto inventory next, inventory has fallen by over $2 million for the year-to-date. This is part of the concerted efforts to reduce the working capital level in the company and additionally, we have also been benefiting from running down certain bioMerieux inventory and we had haemostasis to cover this during transition of manufacturing from the bioMerieux plant in Durham to our own facility in Bray. We’d like to point out that while we continue to look of ways to reduce inventory levels further, we will see upper pressure as we gear up for full production of Destiny Max later this year. Our trade and other receivable balance comprises of trade receivables from customers and pre-payments. Since year end, we have seen an increase in trade and other receivables. However, since the end of quarter one, the level of receivables has remained leveled, notwithstanding the 6% increase in revenue. Finally on the balance sheet, I would like to address cash on our bank debt position. Cash balance at the end of the quarter was $6.2 million. This represents an increase over the $3 million, which was in hand at the end of quarter one. Obviously the equity raise of approximately $7 million during the quarter was the large factor in this increase. Part of the proceeds from this equity rates were used to make the final payments arising after bioMerieux acquisition. Most significant element of these payments was the $2.8 million deferred consideration payment which was made in June of this year. At this stage, all payments have now been made to bioMerieux, and the company has no liabilities to bioMerieux or any other party of this nature. Consequently the other financial liabilities, which appear in the balance sheet, are now stated as zero. I would also like to point out that at this stage, we are investing significantly in our developed projects and in particular Destiny Max that I mentioned earlier. We are reaching or have reached, the most cash intensive phase, as we approach launch stage. From the debt perspective, I would also like to draw your attention to debtor days. As most of you are aware, our debt is made up of three elements. $7 million of all of our facility, which has been used annually, a five year term loan $29 million, and financial leases, which approximate $2 million. The payment profile of the term loan, which is the most significant element, that’s of $29 million that follows $1.1 million in early quarter three of 2008 that has actually already been paid. Next, $2.1 million in early 2009, then every six months thereafter, 3.2 million that brings up to 2012. So, in terms of the interest bearing debt, less then one year that is made up of $1.1 million, which is due in early quarter three. So to say that’s already been paid payment of $2.1 million in early 2009, plus $7 million revolver to sales renewed on manual basis. I will now hand back to Brendan who will give to more information of this quarter sales and an updates on our development on other activity.
Brendan Farrell: Thank you, Kevin. As Kevin has indicated, I'd like to provide you with a brief update on the business and then take you into the Q&A session. Let's start up with research and development. As you know, the key program for Trinity Biotech today is the development of the Destiny Max haemostasis analyzer, which is our high throughput instrument platform targeted at the large hospital segment of the haemostasis market. Just to remind you, the haemostasis market is a $1 billion market growing at about 7% per annum and large hospitals represents 50% of this market. With our existing Destiny Plus platform, which has a throughput of around a 100 patients samples per hour, we are able to address the small and medium-sized hospital segment. Today, we do not have an instrument which is suitable through to both for the $500 million large hospital segment. And this is why we made the decision three year ago to develop the Destiny Max instrument. The instrument has now completed its formal development phase and is currently undergoing extensive validation testing. Clinical trials will commence next months in three laboratories - one in the United States, one in Canada, and one here in Europe. Our sales and marketing, people have been presetting the instruments and customers have been visiting the Bray, Ireland site to see the instrument in operation. The feedbacks have been very positive and customers have noticed some key competitive advantages of our all platforms, which is capable of processing more than 300 patient samples per hour. This will be the only haemostasis instrument on the market other than our own Destiny Plus, which is capable of processing patient samples in both mechanical and optical mode. It also enjoys other significant advantages over our competitors and we're extremely exited about what we see as a winning product for Trinity Biotech. The other R&D program which has been a major focus for us over the past number of quarter is the development of the point-of-care Haemoglobin A1 system called Tristat. As you know, Tristat received FDA approval in 2007, and to meet the needs of the US market, we'll also require a CLIA Waiver from the FDA. The FDA has requested that we generate some additional data to add the information, which we have already provided to them. We are in the process right now, of generating that data, and in addition are taking the opportunity at the same time to enhance the product at the request of two of our potential distributor. These product enhancements are relatively minor in nature and we expect them and CLIA Waiver to be completed in time for us to launch towards the end of this year, already next year. With the incidents of diabetes increasing very rapidly on a worldwide basis, for example, in the United States, the incidence is down from 21 million people to 24 million people affected. We believe that Tristat can be a significant growth driver for Trinity in 2009 and beyond. If we turn away from research and development after sales of the first half of 2008, I'd like to provide you with the brief review of our revenues on the product line basis. Starting first with our clinical lab division, our Primus business which is Haemoglobin A1C and haemoglobin variant grew 17% in the first half of '08 over the same period in '07. We expect this business to continue to grow in double digit for the remainder of 2008 and on into 2009. Turning to our infectious disease product line. We had a 7% growth in sales in H1of '08 versus H1'07. This is the current level of growth we expect from our infectious disease portfolio. However, as a key strategic imperative for Trinity Biotech, we're looking for a new technology platform on which to hang on infectious disease product line. We believe that we've now found such a platform, which is a new and a very exciting technology. And right at this minute, we're in the process of negotiating a term sheet, which will lead to an agreement and an exclusive right of the best technology in the areas of infectious diseases and autoimmune diseases. If we look at our haemostasis business for the first half of 2008, we see that the business was flat when compared to same period last year. This is in line with our expectations over the business in 2008 as the older MDA Instruments, which we acquired as the result of the bioMerieux acquisition, are retired from the market. And again to reiterate, we're absolutely on track to launch the Destiny Max analyzer in Europe in the fourth quarter of 2008, which as I speak is just over two months away. And obviously, that Destiny Max Analyzer will replace the MDA replacements, which are currently in the market. At the same time of the European launch, we'll file for FDA clearance in the United States and would expect to be launching in late Q1 or Q2 of 2009 in US market. Launch of the Destiny Max analyzer would then have the impact of accelerating growth in our haemostasis product line from 2009 and beyond. In the context of our haemostasis business, we are very excited with the distribution agreement, which we signed with Akers Biosciences on June 26 for the ABI’s Heparin Allergy Test. This rapid test for Heparin-Induced Thrombocytopenia or HIT will address a significant and growing market. In 2006, for example, over 3.5 million lab tests were performed to confirm HIT and this number should increase significant with the availability of a rapid test. And finally on my review of the clinical lab business, I'd like to point out that Fitzgerald Industries, our raw material supply units grew 13% on the first half of '08 versus '07. Let's turn now to point-of-care division and specifically to our HIV business. Starting first with the non-US HIV business, which as you have heard had a significant historic start in 2008 and in 2007. Now, as you heard from Kevin, 2007 was a very strong year for HIV sales of sub-Saharan, Africa. Our sales of first half of 2008 are down 60% over the same period in '07. I'd like to emphasize a couple of points about that. Again, just to stress the 2007, for the first half was a very exceptional period for HIV business in sub-Saharan, Africa. And secondly, we have tied our further investigation of the market and there has been no significant structural changes, nor have we lost significant business to competitors. It's merely a question of the timing of the spending of money and whether that money is spent on diagnostic productions, for example, antiretroviral drug. And in that context, we are extremely encouraged to see that Congress has passed a resolution providing for $50 billion in the funding for the renewed PEPFAR program versus $15 billion that was available for the first five years of President Bush's program. That's more then three fold increase in funding is going to lead to a very significant increase in the diagnostic testing being preformed for HIV both in sub-Saharan Africa and indeed in other countries around the world. Turning to the US markets for HIV testing, numbers here are very encouraging. In H1 of 2008 we're up 26% of the same period last year, and starting to make in roads into the shares held by the number one player in the HIV rapid test market in the US. That number one player is having some significant problems with false-positivity and their test, which is leading customers to take a long hard look at their product and will beginning to the customers switching away from the market leader to Trinity. This switch is also encouraged by the recent scientific publication in the Journal of Clinical Microbiology issues it's four rapid HIV tests currently FDA approved and available on the US market. And this study concluded that Trinity Biotech Uni-Gold HIV test was a most sensitive of the four. This is very significant and the significance being a highly sensitive test by Trinity UniGold will lead to earlier to detection of HIV in patients, and therefore, we've to curtail the spread of the disease lead to earlier initiation of therapy. In this context, I would like to mention that the underlined technology, which allows Trinity Uni-Gold HIV test to be so sensitive is intellectual property just patented by Trinity will make it extremely difficult for any of our competitor to come to the market with the test as sensitive as ours. In concluding my remarks, I just like to mention to you the Trinity Biotech is exhibiting next week at the American Association of Clinical Chemistry Meeting in Washington D.C. And we have a range of products on display. And particularly to draw your attention to the fact that the new Destiny Max haemostasis analyzer and the Tristat Haemoglobin A1C system will both be on our booth. And if you get the chance to visit the show, please be sure to stop by and we'll be delighted to show the systems to you. With that I'll hand you back to Joe.
Joe Dorame: Brook, could you please prepare everyone for Q&A?
Matt Dolan - Roth Capital: Hi, guys, good morning.
Joe Dorame: Good morning.
Matt Dolan - Roth Capital: First on the point-of-care business could you help us break out, what Africa was versus the US?
Brendan Farrell: I certainly could Matt. If you are looking at the first half of the year, US HIV was something around the $3 million in revenue and Africa was over $4 million in revenue.
Matt Dolan - Roth Capital: Okay, great. And then, going forward, you've got a competitive scenario here in the US, you have got some nice clinical data, what are you expecting in terms of US as a segment of that business for the second half of the year?
Brendan Farrell: Well, we would expect to see our sales continuing to increase at the pace that they have been increasing. Matt I think, that’s the best way that I would like to pace, and I certainly wouldn't had to quote an exact number, and I think you are going to see it. As I mentioned, we increased 26% over, same period last year. I think, we're going to see that rate of increase to remain the same for the rest of the year.
Matt Dolan - Roth Capital: Okay. On the R&D side, first with Destiny Max and the launch coming here potentially in the near future, what's your ability to manufacture? What's your capacity at this stage and how many of those can you produce assuming demand?
Brendan Farrell: Well, we are already producing instruments. We have a number of instruments here in Bray's that we're using for testing. You obviously have the instruments produced already that are going to the clinical trial sites, and we are perfectly capable of producing what we believe will be the demand for the instrument over the next five years. So capacity is not an issue for us in relation to Destiny Max.
Matt Dolan - Roth Capital: Okay. And then on Tristat, can you define what the enhancements are, and is there any chance that these might require an additional regulatory cycle for that product.
Brendan Farrell: No, they won't require an additional regulatory cycle, but the enhancements focused mainly around the software and also around the self-cycle for product. But, they are not major enhancements as such. They are literally enhancements.
Matt Dolan - Roth Capital: Okay. And then finally on the last call, you mentioned that you provided some commentary on your expectations for the year relative to where the consensus stood, could you provide us any update on your thoughts here now that we’re a few more months into the year.
Brendan Farrell: Well, I think I would reiterate that we’re comfortable Matt with your numbers for the year, overall.
Matt Dolan - Roth Capital: Okay, thank you.
Brendan Farrell: Thanks Matt.
Operator: Your next question comes from Cillian Murphy with Goodbody Stockbrokers.
Cillian Murphy - Goodbody Stockbrokers : Good afternoon, gentlemen. Thanks for taking my call. Just inquiring about the HIV Incidence Assay, I was wondering could you give us update report on that please.
Brendan Farrell: Yeah, that product as you know has completed its research and development program, and we are getting ready for the launch phase, but as we mentioned previously this is not a high volume product, because this is not a routine test procedure. This is used more for epidemiological purposes, and the sales level of that when it’s fully out there in the market with respect to be somewhere around, an additional revenues around a $1 to $1.5 million per annum.
Cillian Murphy - Goodbody Stockbrokers : Great, thank you very much.
Brendan Farrell: Thank you
Operator: (Operator Instruction). Your next question comes from Mark Healy with Davy Stockbrokers.
Mark Healy - Davy Stockbrokers:  Just a couple of questions, first is on cash generation. I was just wondering if you can give us any indication over the last few quarter. The cash generation you've earned, and secondly just on the Uni-Gold HIV product, are there, more generally the point-of-care division in general, how soon do you expect to see an uptick or benefit from new funding enhanced by Bush coming through on that one? Thanks.
Brendan Farrell: Yeah, hi Mark, this is Brendan here. I’ll take the second part of that question, first, while I mentioned that congress has passed a resolution, but that resolution has to be actually signed by President Bush before it's enacted and then the money won't flow until you get into the relevant fiscal year, which is fiscal '09 or fiscal ‘10 I believe of the United States, which is next year. So you won't see those moneys flowing for about twelve months from now.
Kevin Tansley: Mark, I will just take the second part and then remuneration just for the cash, I'll turn for the quarter. As you know, the opening balance was about $3.1 million and we've closed about $6.2 million. So, the net inflow has been about $3.1 million, as I mentioned during the call there. Also the equity rates are significant part of that and it's about 6.6. So of this, of the $3 million or so difference there, you are seeing that the repayment to bioMerieux was a significant factor. So, take out the equity rates, take out the bioMerieux payment, you're probably seeing us reasonably cash neutral this quarter, which is not also gathering earning ventures, because as I pointed out before, we are now at the cash intensive phase in relation to our development projects particularly Destiny Max. The cash is neutral this quarter.
Mark Healy - Davy Stockbrokers: Hey great, thanks a lot. And just finally on the SG&A front, I have seen improvement this quarter in terms of cost. Do you expect that to continue or just see it's going to continue along? Last call you had said, you're expecting a run rate of about $12.5 million per quarter, do you think that will go back up to that level?
Kevin Tansley: I will tell you, it's got to be in around the $12.5 million. We've two very good quarters that's $12 million or $11 million. Last years, as you know I think, we were averaging in around the $12.5 million, so I do believe that the certain marketing expenditure coming up for the second half of this year, talk about the payments as timing wise, so I see us being in around the 12.5 last year.
Mark Healy - Davy Stockbrokers: Okay, great, that's great thing sir.
Brendan Farrell: Thanks.
Operator: Your next question comes from Neal Goldman with Goldman Capital Management.
Neal Goldman - Goldman Capital Management: Two quick questions. One, in terms of the cash and balance of year, do you expect to be cash flow neutral at this point, you know, assuming the earnings estimates that you are giving out and the heavy investments still in Destiny Max?
Kevin Tansley: From a cash flow point of view, I would imagine by the end of the year, our projections are showing -- are probably having in around $6 million to $7 million towards the end of the year. So on that basis, cash neutral is just slightly positive.
Neal Goldman - Goldman Capital Management: Okay. The other comments, Brendan, you made a comment about you have sufficient capacity based on your assumptions for Destiny Max going forward. If that’s a $0.5 billion market overtime, what do you believe is your opportunity in terms of market penetration?
Brendan Farrell: Well, that's tough question, Neal. And I'm sure that I would want to give out the number over the call that hang my hat on going forward over five years, but at this rate, we currently have an 8% share of the market and are only competing in half of the $1 billion market. So as you take our opportunity as being around the 8% to 10%, and if you take roughly that there are a thousand large instruments per year placed worldwide then you'd expect us to be facing around a hundred of those if we are maintaining our overall shift, as though the number is somewhere around that and I suppose to add the missing number from that instrument placement is one thing but what the reagents go through from an instrument placement, we would estimate it to be around $40,000 to $50,000 per year, per instrument.
Neal Goldman - Goldman Capital Management: And the price per instrument?
Brendan Farrell: Well, the price per instruments is somewhere around the $80,000 to $90,000. But as you know, in this market it's more a placement market, a reagent rental market than it is a selling market. But we will be happy to take checks as well.
Neal Goldman - Goldman Capital Management: Okay. All right. Thank you.
Brendan Farrell: Thank you, Neal.
Operator: Your next question comes from Bob.
Unidentified Analyst : Hello.
Joe Dorame: Hello, Bob, Hi.
Unidentified Analyst : Hi. Thank you for taking my call. I might have missed the beginning the call. What is the organic growth rate for the clinical laboratory business? It will be great if you can give the overall organic growth rates versus -- as well as the three business segment.
Brendan Farrell:  Okay. Bob, we're having a little bit of difficulty hearing you but you are asking about organic growth and I gave it for the clinical chemistry segment as being at 17% in the first half. If you're comparing it, it will have state comparison in H1'08 over 17% or the Haemoglobin A1C variants as the clinical chemistry business, 7% for infectious disease and flat haemostasis, the reason being that we're seeing time on top of the older instruments in the haemostasis as we wait to get the Destiny Max out. In the case of HIV in the United States was 26% organic and in the case of HIV outside US was 60% decline. That answer the question, Bob?
Unidentified Analyst : Yes. Thank you.
Brendan Farrell:  Thank you.
Operator: (Operator Instructions). Your next question comes from Matt Reiner with Adirondack Fund.
Matt Reiner - Adirondack Fund:  Hi, guys. Going back to the cash flow, can you give me a little more color on what the number you are standing by for the end of the year is expected to be? It sounds like roughly similar to way you are now. I am assuming that includes the debt pay down and you also indicated that you're going to have ramp-up in inventories because of Destiny Max launch, so where do you see some of that cash coming from and as far as going to that even to slightly positive number for the rest of the year?
Kevin Tansley: I'll take that Matt. Yes, as we are starting at $6.2 million at the start of the second half. EBITDA returns will probably come in around $10 million between now and the end of the year. We will have debts repayments in around $1.5 million, and it includes interest. These payments have got reinvestment proposals of $2 million. We have CapEx stand of in and around $6 million and other payment then probably have a further $1 million, and mainly tax. And that should bring us in and around close to the $7million mark. So what I'm saying there is that we will be slightly cash positive when we get the $7 million by the end of the year and that will be fund to that of acquisition and other activity operations. And within all that, yes, we are funding our debts repayments, which has been made already for this half and all the capital expenditures between now and the end of the year.
Matt Reiner - Adirondack Fund: Okay. So there is no additional equity raise plan on that?
Kevin Tansley: Nothing. Nothing of that nature planned, what so ever, no.
Matt Reiner - Adirondack Fund: Okay. Thank you.
Brendan Farrell: Thank you, Matt.
Operator: (Operator Instruction). There are no further questions at this time. Mr. Farrell, do you have any closing remarks.
Brendan Farrell: Yes. Thank you, Brook. I'd just like to thank everybody for participating in Trinity Biotech quarter two earnings call. And I look forward to talking to each of you individually over the coming days. Thank you very much.
Operator: Thank you. This concludes today's call. You may now disconnect.